Operator: Welcome to MasTec's Third Quarter 2014 Earnings Conference Call, initially broadcast on October 31, 2014. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
J. Marc Lewis: Thank you, Christy, and good morning, everyone. Welcome to MasTec's Third Quarter 2014 Earnings Conference Call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking, such as statements regarding MasTec’s future results, plans and anticipated trends in the industries where we operate. These forward-looking statements are the company's expectations on the day of initial broadcast of this conference call, and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize, or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In today's remarks by management, we will be discussing continuing operations adjusted financial metrics, as discussed and reconciled in yesterday's press release and supporting schedules. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings press release. Our 10-Q, our 10-K are in the Investors and News sections of our website, located at mastec.com. With us today, we have Jose Mas, our CEO; and George Pita, our Executive Vice President and CFO. The format of the call will be opening remarks and announcements by Jose, followed by a financial review from George. These discussions will be followed by a short Q&A period, and we expect the call to last for about 60 minutes. We have a lot of important things to talk about today, so I'll go ahead and turn the call over to Jose. Jose?
Jose Ramon Mas: Thank you, Marc. Good morning, and welcome to MasTec's 2014 third quarter call. Today, I will be reviewing our third quarter results as well as providing my outlook for the markets we serve. First, some third quarter highlights. Revenue for the quarter was $1.31 billion, a 3% increase over the prior year's third quarter. EBITDA was $132 million, and earnings per share were $0.56. While we had a good quarter, in line with our previous guidance, our current focus is on getting through 2014 in the most efficient and profitable manner possible while preparing for 2015 and beyond, where we expect significant increases in the number and size of opportunities. As many of you know, 2014 has been a challenging year for MasTec, primarily in 2 areas. First, our wireless business experienced a number of deferrals and delayed expenditures, which are negatively impacting our growth in the second half of the year. And in our Oil and Gas business, we saw both pricing pressure early in the year and delays in the startup of anticipated long-haul projects in late 2014. Despite these issues, we have been able to continue to grow the business and prepare for what we believe will be a significant ramp in the years to come. Before covering our industry specifics, I'd like to highlight some near-term opportunities. With our recent acquisition of WesTower, we are incredibly well-positioned to continue to benefit from the investment in our nation's wireless networks. With increased geographic scope and services, we are uniquely positioned in this market. As it relates to 1-gigabit projects, we are now more confident that this opportunity will translate into significant growth opportunities for MasTec. We expect our wireline business to experience strong growth in 2015 related to 1 gigabit. But the reality is the opportunities beyond 2015 are far greater. As it relates to Oil and Gas, the amount of work that is being discussed, bid or negotiating is at staggering levels. While projects are being slightly delayed for environmental and permitting issues, we expect there will be a multiyear cycle that will challenge the construction industry's ability to meet this demand. I mention these opportunities to provide insight on how we see the business. Quite frankly, we are disappointed with our results thus far this year. We expected higher levels of growth. However, if we execute, the opportunities in front of us are at unprecedented levels. For this reason, and the fact that we recently closed on the WesTower acquisition, we decided to give a very early estimate of 2015 guidance. George will cover the numbers later. But this initial estimate assumes Oil and Gas long-haul project activity doesn't materially improve until late in 2015, and it assumes only the startup of 1-gigabit activity. Yet, even at these ranges, we believe that based on historical multiples, our current stock price provides investors a significant opportunity for appreciation. Now I would like to cover some industry specifics. Our Communications revenue for the quarter was $505 million versus $543 million last year. The drop was primarily driven by a reduction in wireless revenues. Our install-to-the-home revenue was up about 3% year-over-year. This growth was driven by security-related revenues, and we expect continued growth in 2015. Wireline revenues for the quarter were down year-over-year, however, future prospects for that business are as good as we've seen in a long time. Included in our backlog at quarter-end is approximately $250 million related to 1-gigabit work. Revenue for this work will be minimal in 2014, but will grow nicely in 2015 and 2016. We expect further awards and believe this to be one of MasTec's largest opportunities over the next couple of years. As expected, our wireless revenue is down year-over-year. For the second half of 2014, a number of our wireless projects were deferred. With our ramp in resources to meet the expected growth earlier this year, these deferrals negatively impacted not only our growth, but also our margin profile, as utilization levels were below what we expected. While we have adjusted our workforce and continue to closely manage our workforce levels compared to our expected revenue levels, the reality is that these changes will continue to negatively affect our financial performance through year end. We are, however, very optimistic that the need for our services and the future workload levels that the industry requires are significant. Subsequent to quarter-end, we announced the acquisition of WesTower. Integration of WesTower has begun, and we believe the combined entity will offer us strong opportunities for growth. Revenue in our Electrical Transmission business was $133 million versus $119 million in last year's third quarter, a 12% year-over-year increase. This was our highest level of quarterly revenues since we started the Transmission business. We continue to see a very strong bidding environment, and we are confident in our ability to continue to deliver strong results in this segment. Moving to our Power Generation and Industrial segment. Revenue was $114 million for the third quarter versus $85 million in the prior year, and EBITDA for this segment improved by over $11 million year-over-year. We are on track for a much improved 2014. In addition, we expect 2015 to be a very good year. For 2015, we currently have $290 million worth of projects that are either in our backlog or have been verbally awarded. Bidding activity remains very active, and we are encouraged about our visibility this far in advance. Our Oil and Gas pipeline segment had revenues of $557 million for the third quarter compared to revenues of $519 million in last year's third quarter. EBITDA margin for the segment was 13.1%, flat with last year, but up from 9.8% sequentially. As I commented earlier, we saw pressure in margins during the first half of the year. We are now seeing an improved pricing environment. We expect fourth quarter EBITDA margins to be similar to last year's levels. We are very excited and bullish about the long-term prospects in our Oil and Gas business. We expect a dramatic increase in activity levels. While there is some uncertainty as to the actual start dates due to the delays in environmental and permitting activities, the market is extremely active in North America, and we are in dialogue on a number of opportunities and projects that will be built over the next 3 to 5 years. Also subsequent to quarter-end and not included in our backlog was about $300 million of pipeline awards at our Precision pipeline subsidiary that will be mostly completed in the first half of 2015. To recap. Despite the challenges we face in 2014, I feel strongly that we have positioned the company in the right markets at the right time. I am convinced that 2014 is not reflective of our earnings potential. I'm looking forward to getting this year behind us and executing on the opportunities ahead of us. I would now like to turn the call over to our CFO, George Pita, for our financial review. George?
George L. Pita: Thank you, Jose, and good morning, everyone. Today, I'll cover third quarter financial results, fourth quarter and full year 2014 guidance, along with our cash flow, liquidity and capital structure. Through the impact of the recent WesTower acquisition, I will also cover a preliminary look at our 2015 financial performance expectations. As in our previous calls, when we discuss our financial results and guidance, we're discussing non-GAAP continuing operations, adjusted earnings and adjusted EBITDA. Full reconciliations from GAAP results to adjusted results are included in our Form 10-Q and press release tables. As indicated in our release, continuing operations adjusted results for fourth quarter 2014 and fiscal 2015 will now also exclude the impact of acquisition integration expense anticipated to be incurred in connection with the WesTower acquisition. We estimate that these costs will approximate $20 million and be primarily composed of lease and equipment exit costs, employee separation and onetime training efforts to implement our systems and processes. We are currently estimating that we will incur approximately $10 million of these costs in the fourth quarter of 2014, with the balance to be incurred during 2015. Obviously, given the recent timing of the acquisition, estimates of total cost and timing are preliminary, as we are still finalizing our integration plan. Before I get into detailed remarks, here are some highlights for the quarter. Third quarter results were in line with our guidance, and our EBITDA margin increased sequentially by 50 basis points to a 2014 high of 10.1%, despite the profit pressure created by decreased levels of wireless revenue as well as costs incurred during the quarter in rightsizing our wireless operations. Oil and Gas segment EBITDA margins during the quarter improved sequentially by 330 basis points to a 2014 high of 13.1%. And we successfully completed construction of a major long-haul project during the quarter. Our Power Generation segment continued a strong turnaround in 2014 versus last year, as EBITDA margin in this segment increased dramatically from a negative 7.5% to a positive 4.3%, representing an $11.3 million positive swing. While our cash flow from operations during the quarter was lower than last year, this was primarily due to the timing of project completions, including final closeout and repaintage [ph] billings. We reduced our DSOs when compared to the second quarter level by 4 days. We continue to expect strong cash flow from operations during our fourth quarter and expect that cash flow from operations for the full year 2014 will exceed 2013 levels. Now let me cover some details regarding third quarter revenue performance. Third quarter 2014 revenue was $1.3 billion, up 3.2% from last year. Highlights include a $38 million increase over last year in our Oil and Gas segment, a $29 million increase in our Power Generation segment, and a $14 million increase in our Electrical Transmission segment. These revenue increases were partially offset by a $38 million decrease in our Communications segment, which was primarily due to previously announced expected lower levels of wireless project activity. Now I will discuss a summary of our top 10 largest customers for the third quarter 2014 as a percentage of revenue. AT&T was 16%; DIRECTV was 12%; Enbridge was 10%; Berkshire Hathaway Energy was 8%; Canadian Natural Resources was 4%; and we had 4 customers at 2%: CenturyLink, Plains All American Pipeline, Chesapeake Midstream Partners and Duke Energy. Individual construction projects comprise 57% of our third quarter revenue, with master service agreements comprising 43%, and this mix is generally in line with recent trends. As far as major customer trends are concerned, while AT&T total customer revenue was essentially flat during the third quarter when compared to last year, it's important to note that AT&T total customer revenue is comprised of 3 separate service contracts with 3 different operational groups, wireless, wireline and home security installation services. During the third quarter, we had strong growth in wireline and home security installation services, which were mostly offset by expected decreases in wireless construction services. As we have previously indicated, we expect wireless project activity will slow further in our fourth quarter before normalizing, and we expect growth in 2015 from a combination of industry growth, market share gains and contribution from the recent WesTower acquisition. At quarter end, our 18-month backlog from continuing operations was approximately $4.1 billion, compared to approximately $3.9 billion as of both the second quarter of 2014 and the third quarter of last year. This represents a 5% increase in sequential backlog. Backlog growth was led by the Communications segment, which grew by $230 million, primarily due to the addition of a large 1-gigabit fiber deployment contract. As Jose mentioned, we have had some good increases in Oil and Gas backlog subsequent to quarter end, and this will be reflected next quarter. Also for the sake of clarity, given the recent timing of the acquisition, our third quarter reported backlog levels do not include any amounts for WesTower, which will be reflected next quarter. Regarding third quarter 2014 EBITDA performance. Continuing operations adjusted EBITDA was $132 million, compared with $135 million last year. On a rate basis, third quarter 2014 continuing operations adjusted EBITDA margin was 10.1%, compared to 9.6% in the second quarter of 2014 and 10.6% last year. As I mentioned earlier, our consolidated EBITDA margin improved 50 basis points sequentially over second quarter levels, despite the impact of decreased wireless project activity to a 2014 high of 10.1%. Looking at our performance at a segment level. As indicated in my summary comments, we reported strong Oil and Gas EBITDA margins of 13.1%, a 330 basis-point sequential improvement, and also a 2014 high mark, and Power Generation continued a strong year-over-year turnaround. Communications segment EBITDA margin for the third quarter was 10.4%, which was in line with our expectations and reflects expected reduced levels of wireless project activity. Third quarter 2014 Communications segment EBITDA also includes approximately $3 million in costs incurred during the quarter, as we rationalized our wireless operation cost structure. As we have previously indicated, during the first half of 2014, we had been significantly investing and expanding our wireless organizational structure in order to keep up with wireless project growth and new programs. Given the lower level of wireless project services to be rendered during the second half of 2014, we have taken actions to normalize our cost structure while still planning for growth in 2015. In our Electrical Transmission segment, we reported a 9.6% EBITDA margin during the third quarter of 2014, a slight decline when compared to last year's 10.2%. The majority of this margin rate decline was caused by costs incurred during the quarter to start up Canadian operations, as we established a business office in Calgary with the expectation of generating return on this investment in 2015. Regarding other areas of the income statement below the EBITDA line. Third quarter 2014 depreciation and amortization expense was in line with our expectation at 3.2% of revenue, compared to 3.0% last year. And this level includes increased expense levels from the Pacer acquisition in the second quarter. Third quarter 2014 GAAP general and administrative expenses, including noncash stock compensation, were flat on a rate basis when compared to last year, at 4.6% of revenue. Interest expense during the third quarter of 2014 was $12.6 million, compared to $12.7 million last year. Even though we have higher borrowings compared to a year ago due to the Pacer acquisition, interest expense levels were flat, as we have reduced our effective borrowing costs with the second quarter retirement of $115 million convertible notes. Now let me talk about cash flow, liquidity and capital structure. We generated $81 million in cash flow from operations for the 9-month period ended September 2014, compared to $129 million for the same period last year. Due to the seasonality of our business and timing of project closeouts in 2014, we expect to generate significant cash flow from operations during the fourth quarter and expect that full year 2014 results should exceed 2013 full year cash flow operations levels of approximately $200 million. Our third quarter 2014 accounts receivable day sales outstanding, or DSOs, were 88 days, compared to 92 days for the second quarter of 2014, a 4-day decrease. As we indicated during the WesTower acquisition conference call, acquired WesTower operations have DSO levels that are approximately 40% higher than MasTec levels. Thus, we expect that if these amounts are consolidated into MasTec results, our year-end DSO levels will increase from current levels. We have initiated actions during the fourth quarter designed to improve acquired WesTower working capital levels, but it will clearly take some time to get acquired DSOs in line with MasTec levels. Regarding our spending on capital equipment. Third quarter 2014 cash CapEx, net of disposals, was approximately $20 million. We added approximately $12 million in capital leases and other financed equipment purchases for a total CapEx spend net of disposals of $32 million. Year-to-date, we've incurred $79 million of cash CapEx, net of disposals, and added $62 million in capital leases and other financed equipment purchases for a total CapEx spend, net of disposals, of $141 million. We currently estimate a moderated capital spend in the fourth quarter and now estimate that we will spend approximately $80 million to $85 million in cash CapEx in 2014, net of disposals, with an additional $80 million to $85 million in financed CapEx, for a total CapEx spend net of disposals of $160 million to $170 million. Liquidity at September 30, calculated as cash plus availability on our senior revolving credit facility, was $270 million. Liquidity as of September 30, includes a temporary reduction of approximately $150 million, as our revolving credit facility requires that we reserve liquidity as we approach the December settlement of our $100 million convertible notes. Our overall net debt level as of September 30 was approximately $1.2 billion, reflecting the June acquisition of Pacer. As we indicated in yesterday's 10-Q, we exercised a portion of our $250 million accordion feature with our bank group and added a $75 million term loan in October as part of the WesTower acquisition. We're continuing to evaluate our debt structure to ensure we have ample liquidity to allow us the financial flexibility to pursue attractive growth opportunities. As we look forward to 2015, we expect our leverage ratios to significantly decline compared to 2014 year-end levels, and expected increased levels of operating profit should generate strong cash flow from operations. Moving on to our 2014 full year guidance, which now includes WesTower operations. We are projecting annual revenue of approximately $4.6 billion, with continuing operations adjusted EBITDA of approximately $425 million and continuing operations adjusted diluted earnings per share of $1.55. This guidance reflects the assumption that WesTower fourth quarter results will be impacted by reduced levels of wireless project activity, and thus is expected to be slightly dilutive to continuing operations adjusted earnings per share. If you do the math, our guidance for the fourth quarter translates to continuing operations adjusted EBITDA margin of 9.1%, compared to 10.1% for the third quarter of 2014 and 10.6% for the fourth quarter of last year. Excluding the impact of acquired WesTower operations, we would've expected fourth quarter EBITDA margins to approximate third quarter 2014 levels. Our estimate for full year share count per diluted earnings per share is about 86.3 million shares and 85.8 million shares for the fourth quarter. Remember that our share count for earnings per share purposes can fluctuate up and down with our stock price because of the accounting for a remaining $100 million convertible notes, which will be settled in December. We plan to repay the principal amount of these notes in cash, and we'll issue shares for the premium value of the conversion feature of these notes. Lastly, due to the significance of the impact of the WesTower acquisition, we have issued preliminary 2015 guidance ranges earlier than usual. We will update this guidance at our typical timing when we report our year-end results and have more visibility. For 2015, we expect that revenue will grow 13% to 17% over expected 2014 levels to $5.2 billion to $5.4 billion and that continuing operations adjusted EBITDA should approximate 10% of revenue or $520 million to $540 million. We also expect continuing operations adjusted diluted earnings per share in the range of $2 to $2.15 per share. In summary, we are excited about our prospects in 2015 and beyond and look forward to capitalizing on the numerous growth opportunities in the markets we serve. That includes our remarks, and now I'll turn the call back to the operator for Q&A. Operator?
Operator: [Operator Instructions] And we'll take our next question from Andrew Kaplowitz from Barclays.
Andrew Kaplowitz - Barclays Capital, Research Division: So there's been -- as you know, there's been so much noise on wireless spend. Even since your last earnings call. Can you talk about whether the expected wireless spend in 2H '14 has trended to your revised expectations from the summer? And then you've mentioned in the past that you saw wireless spend to rise to $1.2 billion next year versus about $900 million this year. Can you talk about what's implied in your early guidance here in wireless? And with your largest customer spend down in 2H '14, what gives you the conviction that you'll see growth in wireless x acquisitions in '15?
Jose Ramon Mas: A couple of things. First, from our expectations of what the second half of '14 would look like based to what they’re playing out to, it's almost exactly as we expected, so there's really been no changes. I think we had a good understanding, as more information came out in the second quarter. We adjusted our estimates for the balance of the year, and again, the estimates are playing out -- or the actuals are playing out almost exactly to the estimates. When we look at what we've embedded in guidance, we've probably taken a slightly moderated view on that, so we're probably going to do about $950 million this year in the business, pre-WesTower. We've said WesTower, we expect it to be about $400 million next year, and I'd say embedded in our guidance right now is about $1.5 billion, maybe slightly higher than that, for full year 2015. And we feel real comfortable with that. One, it's driven by our existing customer, obviously, AT&T, which is our biggest customer, but we're also seeing a lot of opportunities outside of them for further growth with other customers. So again, we're very encouraged about the market. We think that capacity and data, there's still massive issues that are being dealt with, and it's going to create an enormous amount of opportunities for us, not just in the short term, but in the long term. We've said it a couple of times, we think the combination of the businesses makes it a very unique play. We really don't think there's anybody like us in the country. And as some of the larger carriers are trying to determine what they do, we think we're going to bode really well in that discussion.
Andrew Kaplowitz - Barclays Capital, Research Division: Okay, that's helpful, Jose. So stepping back, though. I mean, this is the first time you've given guidance at this point since I can remember. And I know you said it's because of WesTower. But how do we think about the -- your conviction in the guidance, given it’s this early. Is it more conservative given it's so early? And -- or does it help you that Oil and Gas looks like it's starting to pick up here? You've got backlog up quarter-over-quarter and you got these new awards here that will hit in 4Q. So is that also giving you confidence to come out with guidance this early?
Jose Ramon Mas: Look, we're trying to do the best job we can in terms of identifying the future opportunities in the company and the direction where we think we're heading. The challenge for us is, as an entity, and even as individuals, is 2014 was a very frustrating year in that we see what's coming. We think we have very clear visibility, amongst a number of our different businesses, of what's coming, and we can't wait for it to get here because it's really exciting. We can't talk about it all because a lot of it isn't done yet. But we see what's coming on the horizon, and I think, in a small way, we're trying to really show what our numbers are, what we think we can absolutely hit for 2015. And even at those levels, we think we're pretty undervalued. So to the extent that we can execute and take advantage of the opportunities that are ahead of us, we feel really good about where we are as a business.
Operator: We'll take our next question from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: I guess, the first question is really on EBITDA margins for next year. [indiscernible] if we were to strip out -- and I think George gave a nice example of the fourth quarter and what things look like outside of WesTower. Could you talk a bit about what's in your initially embedded guidance x WesTower for 2015 margins?
Jose Ramon Mas: Well, if you kind of break them out, Power Gen should continue to perform. We actually expect it to perform a little bit better in '15 than it's performed in '14. We're probably just slightly under where we would've expected or wanted to have been. Electrical Transmission should do well. Again, we're investing. We talked a little bit about our investments in the Canadian space, which are probably going to continue to be a drag, at least through the first part of '15, slightly from a margin perspective. When we look at our Oil and Gas business and we look at our performance in the second half of this year, I think until there's some large awards and some things change in that business, I think that should be the expected levels of margins going forward into '15. And when you look at our Communications business, our margins are actually getting better here, even in the fourth quarter. When you do take WesTower into account, it does drag the margins down because it's more of a turnaround story, and we're expecting lower margins going into 2015.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it. Okay, Jose. And I guess second question is more for George. If you're looking at -- George, you said you expect strong free cash flow for next year. And I guess you've opened up the Pandora's Box in terms of what that actually means. Are we -- in your perspective, as we look at the business, when do we start sort of seeing free cash flow kind of approximate your net income levels, as you look out over the next few years?
George L. Pita: Well, look, we said that we expect full year '14 cash flow from operations to exceed 2013 levels, which means we expect to have a strong fourth quarter in terms of cash flow. Obviously, the quarterly numbers in terms of cash flow are dependent on timing of project closeouts and individual billings and whatnot, so they can jump around a little bit. But we definitely expect an increase this year, and we would expect to continue to increase going forward into next year. As far as the capital spend, you saw we moderated our capital spend somewhat in the second half of this year. We're not giving direct guidance in terms of what our capital spend for '15 would be, but I would think it would be similar to the overall '14 levels, maybe a little bit of an increase but not that much. And the reality is that we definitely expect to generate improved working capital management on the WesTower side. We've indicated that, and we expect to get some improvements there. So we think that'll also give us some improved cash flow, going forward.
Operator: We'll take our next question from Alex Rygiel with FBR Capital Markets.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Jose, the market's somewhat skittish on gas prices. I'm trying to connect the dots with regards to possible slowdown of capital investment in pipe. Can you kind of comment on just that broader view? Are you seeing any of your customers pushed to the right pipeline projects because of this recent weakness in gas prices? And then secondly, can you go into a little bit more detail about pipeline opportunities, breaking apart Canada, the U.S. and Mexico and talking about each one, respectively?
Jose Ramon Mas: Sure. So we can say unequivocally that our customers are still very active on the projects that they've been discussing for a long time. We know that on a number of those projects, pipe's been ordered, there's been significant dollars already spent and committed to projects, so we think the viability of those projects going forward is extremely high. I can't say that there won't be any projects that would -- that aren't going to get canceled because of what happens to oil prices at any level. We don't know, right? There could be projects out there that ultimately don't happen. But what we can say is there's so many projects that we know that are happening, that it's almost irrelevant because -- and we've said it a couple of times, the amount of projects that are being planned are almost -- are going to be very difficult to find ways to all get executed based on the capacity and the demand issues. It's -- there is a staggering number of projects on the table that are going to be built over the next few years. So we feel really good about it. We do break the market up between the U.S., Canada and Mexico. The U.S. market, again, we have great visibility. We think it's going to be a fantastic market, an enormous amount of growth. But it's slow coming, right? We're going to struggle in the fourth quarter in the U.S. It's embedded in our guidance. We're going to see an organic slowdown in our business year. We finished some long-haul projects here in the third quarter, and a lot of the work that we've won, some of the announcements that we made about Precision, those are projects that don't really start until the beginning of 2015. Even in '15, we think it's going to be much more active as the year progresses. So the U.S. market's in great shape. It's coming, and when it gets here, it's going to be a long cycle that's going to keep us all busy. Canada is also an active market, both from a midstream and a long-haul perspective. We've done fairly well there over the last couple of months. We actually expect -- embedded in our guidance is probably more growth in Canada right now than there is in the U.S., and that's all based on timing. And probably embedded in our guidance is very little or any work in Mexico, which we think, there's a number of opportunities that we're currently chasing that are very sizable, that if we're lucky enough to win any of them, would have a probably -- could be a dramatic effect to our guidance for '15 and '16.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Good. Could you also update us on the Pacer acquisition and sort of the progress over the last quarter that you've seen with it?
Jose Ramon Mas: They're doing great. They're picking up work nicely from a backlog perspective relative to their burn. They're seeing a lot of opportunities, so it's actually -- it's right on the line.
Operator: We'll go next to William Bremer with Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: Staying with pipeline right now. You sort of mentioned that -- and congratulations to the Precision team, landing $300 million in long-haul. Very nice. You sort of mentioned today we're starting in 2015 here. What are some of the completion dates, if you don't mind? That's the first question. And then secondly, you went into a little bit of Mexico. Can you sort of give us a little background in terms of how quickly projects float there? Is it a little different than here? And what can we expect on that front?
Jose Ramon Mas: So from the pipeline awards that we announced subsequent to quarter end, those are all projects that will be completed in 2015, that will start in '15 and complete in '15. As it relates to Mexico, it is different. Mexico, obviously, has undergone significant energy reform. There are a number of projects that are currently out bidding. Some have -- they started some work earlier this year. There's a lot of engineering. And some of these projects are full-term keys, so you're going to end up doing everything, from engineering to procurement, to actual construction. So different firms are active at different points of time. But it's probably a little bit longer of a sales cycle, I think, by the time -- and every project's different. There are some projects that are ready for construction, but most of them are probably a little bit earlier from a planning perspective, so they're going to be awarded. And once they're awarded, it'll probably take a little bit of time for revenues to really impact in any significant way.
William D. Bremer - Maxim Group LLC, Research Division: And then my final question is on the margins for pipeline. We're starting to see better pricing, a quicker book-and-burn on the long-haul that you just mentioned. Is it safe to assume that EBITDA margins will be up year-over-year from '15 to '14?
Jose Ramon Mas: Look, I think we're feeling better about it. We definitely think pricing is improving. The challenge in the business and what's really going to drive margins to what we've been able to historically see on a high end is utilization, right? So the fact that, for example, if we look at 2014, we're seeing a slowdown in the fourth quarter, right? That slowdown isn't just a revenue issue. It obviously affects our margins. It affects our utilization. So to the extent that we can keep people busy consistently, it really improves margins. If we can consistently keep everybody busy in 2015, margins are going to be a lot better than '14. We think there's going to be a little bit of volatility there. So we're encouraged by where margins are going in 2015, but I don't know that -- our guidance -- our current guidance does not anticipate a significant increase in the margins in '15 versus '14.
Operator: We'll go next to Jason Wangler with Wunderlich Securities.
Jason A. Wangler - Wunderlich Securities Inc., Research Division: Just curious. I know that there's not a lot of color probably to be given on the 1-gig work that you already have a backlog. But if it can be maybe even be a little bit still not too colorful, is that 1 big project? Is it in 1 region? Or is it -- and is it with 1 customer? Or is there a lot of different work? I know you, obviously, announced kind of the contract last time, but maybe just as nonspecific but specific as you can be just to kind of get a feel for what that is.
Jose Ramon Mas: We're working currently for multiple customers. The large award that we mentioned is more in line for -- with 1 customer. But there are opportunities with multiple customers right now that we're very encouraged by. And again, we think it's a huge opportunity with the -- it's an opportunity that's going to accelerate over time, and I think it's going to completely transform our wireline business over the next couple of years.
Jason A. Wangler - Wunderlich Securities Inc., Research Division: I appreciate that. And George, maybe just for you on the financial side. Obviously, you've kind of walked through with now, the acquisition and what you have. Could you maybe just lay out the options you're looking at as far as what you want to do with the balance sheet in terms of whether it's terming out debt or just kind of the things you're thinking about there, just to give us color on that.
George L. Pita: Well, we announced, obviously, yesterday in the Q that we did a $75 million term loan with our bank group. We're certainly evaluating different levels of term loan borrowings that might increase that $75 million a little bit further to ensure we have the right kind of liquidity going forward for future growth and take advantage of all the opportunities that we see. As we think about our debt structure going forward, that's probably the most likely scenario. We obviously look at interest rates and environments. We're always evaluating that to determine whether or not you change your mix of fixed versus floating and that sort of thing, but there's nothing I would comment on directly today. That's something that we're always evaluating and we continue to look at.
Operator: We'll go next to Noelle Dilts with Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Company, Incorporated, Research Division: So first, some of the questions have touched on this a bit, but it looks like there's sort of a disconnect between what looks to be very good Oil and Gas backlog growth and this additional $300 million job you booked post the end of the quarter, which is sizable. So can you just explain a little bit more what you mean in terms of when you say you aren't anticipating a significant increase in mainline work until the end of the year in your '15 guidance? Because it seems like some of these projects that you've booked would, I think, support a stronger first half than maybe what we're thinking heading into the quarter.
Jose Ramon Mas: So a couple of things. One, the $300 million is more than 1 project. Two, we obviously feel great about where we are, given this point in time. So the fact that we're going into the year with that kind of backlog and awards and the recent activity that we're seeing makes us feel a lot better about '15 than maybe where we were sitting 6 months ago or a year ago. It always feels good to go into a year with good backlog, where you know that your business is going to be supported. So we feel really good about that. The flip side of that is we had a very, very good 2013 relative to pipeline construction, and we had a lot of work that flowed into the beginning of '14. So we went into '14 with a lot of backlog as well. So a lot of this backlog, quite frankly, is replacing some of the work that we have previously done in previous years. So I wouldn't say it's additive at this point. Again, if -- the good thing is activity levels continue to be really high, so to the extent that we can continue to win things, it could change our outlook and make us feel even more positive than what we feel today. It's a step in the right direction. But we have a big pipeline business, so the reality is, we need to win a lot of work every year to continue that business at current levels. We expect to do it. We absolutely expect that business to grow over time. The opportunities are there for that business to get substantially bigger than what it is today. But I still think that we're a little bit out. We're -- we've said it a couple of times on the call today, permitting and environmental issues are delaying projects. And when this cycle starts, it's going to start in a big way, and it's going to last for a long time. But we don't think it’s there yet.
Noelle C. Dilts - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. My second question is, really, I thought it was interesting that you noted that you set up a transmission operation in Canada. Can you talk a little bit about your strategy there? Are you looking to pursue larger projects or more small-to-medium projects? And then along the same vein, you talked in the past about trying to move into the Canadian mainland market. Is that now something you're thinking you maybe could do organically?
Jose Ramon Mas: So we talked a little bit about it when we acquired Pacer. We thought that Pacer had certain aspects of the business that would make it easier for us to penetrate the transmission market in a faster and better way. Over the last quarter or so, maybe a little bit longer, we went and we opened an office, specifically a transmission office, to service the Canadian market. That office is growing for us. We've got over a dozen people in that office today, engineers, project managers. We're having a lot of dialogue around projects, going after a number of projects. So we feel really good about our ability to grow that business organically over time, obviously, using some of the Pacer assets to help us as well. So we're encouraged about what we're seeing. It's a very active market. It's a market where we think there's opportunities for new entrants. So it fits us well, and it's kind of similar to how we feel we started in the U.S. market and the things we did to penetrate the U.S. market a number of years back. So we feel good about it. From a main line pipe perspective, we've said all along, we do believe we can do some of that organically. We're seeing some grabbing a little bit of success there. We're currently working on a larger project than we've typically, historically worked on. We've got some other ones that we're currently going after. So we're encouraged. There's some activity there. We haven't talked a lot about it and we're probably not going to give much more detail, but there are some good opportunities for us in that market as well.
Operator: We'll go next to Dan Mannes with Avondale Brokerage.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: A couple of quick follow-ups. First, on the third quarter, as it relates to the Oil and Gas business, margins held in pretty well year-over-year in spite of -- you had mentioned some previous issues on maybe a little bit of margin contraction, plus what looks like a mix of less long-haul work in the third quarter. Can you maybe give us a little bit more color on were there any benefits as you completed the big job? Or maybe did you get any over the margins on Pacer better? Maybe just help us out a little bit on the margins in Oil and Gas for the quarter.
Jose Ramon Mas: Look, our -- it was broad-based. We didn't have any significant onetime pickups or anything like that, that drove margins. So it wasn't single job-based. Our Canadian operations as a whole, not just Pacer, but including big country, are performing well. They had good quarters. Our U.S. operations did well. We were completing a large long-haul project that kept driving revenues through -- from a long-haul perspective, through Q3. Our shale plays, our midstream plays did much better than they had done in the previous quarters of the year. So we had a solid quarter. Going into the fourth quarter, we expect some of the same. We are going to see a slowdown in long-haul work as we transition from the project we finished to other projects that will have a slight impact to margins. But quite frankly, we're expecting margins in the fourth quarter of this year to be similar to what they were in the fourth quarter of last year, which is a pretty active quarter for us. So we're upbeat. We'd like to see higher revenues. We have the capacity to do a lot more work. And had we had to work on the fourth quarter to do that, you would've seen a sizable, in my mind, uptick in margins on a year-over-year basis. And hopefully, as 2015 plays out and we can pick up work to keep busy, we'll begin to see that.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: Sounds good. And then on the Transmission business, this kind of -- it kind of gets overshadowed by some of the larger businesses you're in, but you've grown this pretty nicely over time. Backlog's been trending down a little bit, as you're starting to work on some of the big projects you previously won. Can you talk about maybe some of the U.S. bidding opportunities you see going to next year after what's been a little bit of a kind of a slow stretch in terms of large project awards?
Jose Ramon Mas: We feel the same way. With that said, there are a number of projects that are out there that we think are going to be awarded definitely within the next 12 months. We feel good about our ability to get some of those. And our idea in the business isn't to maintain the levels that we're at. We think we can, based on the workload that's out there, we can continue to grow that business. So our expectation going into 2015 is that we'll continue to see growth in that business, hopefully double-digit growth. So we're excited about the prospects in that business.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: And if you'll indulge me, just last -- one last quick one on Electric. The margins at 10%, how much was that negatively impacted by the Canadian operation? Because I guess we had thought this was going to be trending up a bit more over time.
George L. Pita: Yes, Dan, the majority of the difference between this year's rate and last year's rate was due to the investments. So we would've run slightly over last year's levels in the third quarter, had it not been for the startup of the Canadian operations.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: Right. But I mean, you targeted, certainly, margins better than that historically?
Jose Ramon Mas: We have. And what we said all along is we continue to grow a larger part of that work. So the bigger jobs, the more complex jobs, we do a lot better on those from a margin perspective than we do on some of the smaller work. And I think as you see us going forward, you're going to see more of the business convert to that. But we're still doing a lot of smaller-type projects that are negatively affecting margins.
Operator: We'll go next to Adam Thalhimer with BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: One question on Communications and one on pipes. On Communications, Jose, can you give some nice color on wireless revenue assumptions in your guidance? Can you talk about what you're expecting on wireline? And then also, as it relates to the 1 gigabit opportunity, do you envision doing work for cable companies as well?
Jose Ramon Mas: So I'll answer the last part of it first. We'll work for anybody, is the right answer. There is a lot of work out there, and we're going to chase any customer that has a significant spend. We're currently not doing anything for cable companies, so I don’t want to overstate it, but the opportunity is there. And if it's there and we can provide a service, we're going to try. Again, we're very bullish on it. There's a lot of players in that market that we think are going to be active. And again, we think we're in a really, really good position. As it relates to growth, we're expecting significant growth in that business going into next year in the very, very -- in the very high double-digits. I'm not going to say we expect to double the business, but it's a very strong growth going into '15 versus '14.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. And then on pipe, how much of the business today would you say is gathering systems versus long-haul? As we go into '15, is there -- because of low oil prices, is there a decline in the gathering work that gets offset by the long-haul uptick?
Jose Ramon Mas: Well, we kind of view the business in 3 sections, right? It's gathering, midstream and long-haul. And from a gathering perspective, it's a very small piece of what we do. It's probably -- it's less than 10%, slightly over 5%. So somewhere between 5% and 10% on an annual basis. The things that we're doing there, we don't think they're going to be greatly impacted. So we feel good about that portion of the business. Again, it's not very big, and we think the rest of the business is pretty well insulated to it as well. So we're not seeing any slowdown. There's so much activity out there. There's so many projects on the board that, quite frankly, we're trying to stay ahead of all of it, which has been a challenge.
Operator: We'll go next to Vishal Shah with Deutsche Bank.
Vishal Shah - Deutsche Bank AG, Research Division: I think you guys have talked about improving margins in the Power Gen business in the back half of the year. Can you just talk about whether you're going to see the same kind of margin profile in Power Gen in the fourth quarter so that you can get to the 2012 levels? Or is it going to be much more gradual in 2015?
Jose Ramon Mas: Look, we're slightly underperforming where we would've hoped to have been in that business relative to what we said earlier in the year. So we expect to be slightly under that 5% goal that we've kind of set for ourselves. With that said, some of the challenges we face in that business, we've had some jobs that have been very negatively affected by weather. Not to make excuses, it's just -- it is what it is. When we look at where we're sitting in this business relative to 2015, again, we're really excited because we generally don't have the kind of visibility that we have today. So we've got a large portion of our '14 annual revenue's booked for 2015. So we definitely expect the business to have as good or better of a year as it did in 2014. And we're hoping that at a minimum, it does what we expected the margins to be in '14. So we do expect margin appreciation in this business from '14 to '15. And hopefully, it's -- and we're going to try to generate -- we're going to try to maximize the profit share to the highest level we can get them.
Vishal Shah - Deutsche Bank AG, Research Division: What kind of assumptions do you make on the PTC extension and things like that on the regulatory front for the wind business? And also, I think you've mentioned that you may get an additional award in the 1-gigabit fiber option before the year end. Is this still the case?
Jose Ramon Mas: So on the -- we're not making any assumptions on PTC. The reality is, right now, projects happen until the end of 2015 to complete. Quite frankly, we're even seeing some projects right now that are being planned for 2016, which is really weird to see this far in advance, but we're encouraged by it. But in our '15 assumptions, we're taking no position on PTC other than the one that currently exists. As it relates to gigabit, again, we're obviously very excited about the projects that we've won. We do expect further awards before year end. We're -- and again, we think we're just in very early stages. We think over time, the awards there are going to be large and our opportunity to grow that business are going to be substantial.
Operator: We'll go next to John Rogers with D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: Jose, sorry, again, just on the wireline and the wireless business. In terms of the customers and how the orders come in to that business, the wireless business, it seems like you don't have quite as much visibility. I mean, they have budgets, but then you wait for the call out work? With the wireline business, is it lumpier? I mean, do they give you longer -- I know the 1 gigabit's new, but do you expect bigger awards to come in those chunks?
Jose Ramon Mas: So 2 things. One, on the wireless side, just to reiterate, we obviously work for multiple customers, and it's different with each customer. But when we look at our largest customer, historically, we have had very predictable revenue streams. So we get an expectation of what work levels are going to be. And up until this year, those levels were very accurate. Obviously, we had issues in '14, and there was changes in '14 that were, in our minds, very different than what had happened in 2013, 2012, 2011, 2010, 2009 since we've been in that business. Up until this year, we had incredible levels of visibility and we executed to those levels of visibility. We think '14 was an aberration. We think when we get to 2015, it will look a lot more like it did in previous years, not like it did in '14. So we actually feel really good about our ability to forecast and manage our business in wireless. Again, every customer's different. Some are more project-related, where you have a project, you start it and you stop it. And some of it is more order-based. But again, it's typically a varied business, where the visibility is high. Again, not the case in '14, but we expect it to be that in '15. When we look at wireline, again, wireline is a pretty broad business. When we look specifically at the gigabit opportunities, we do expect them to come in chunks. We expect large awards to be program- and project-based. So you're going to get awards that -- and again, every customer's going to be different, but you're going to get awards to start on a project and complete. There's going to be a definite start and a definite completion, and whether that's based on miles or homes or whatever it is, and you're going to work on that project over a period of time until you complete it.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And if I could just follow up on the pipeline side of the business. How much of your work now is associated with oil projects, including the workup in the oil sands? And as you think about '15, the projects that you see coming, especially into the back half, is that mix shifting? Because I would assume more towards gas? Or are we not there yet on the gas side?
Jose Ramon Mas: There's so many projects that it's hard to answer that question because we don't necessarily know what we're going to win, right? So there are a number of both liquid and gas projects that are currently -- that we're in talks with. And I can't tell you today the breakout of what we actually are awarded or able to win, what that breakout's going to look like. There are -- there is activity on both currently, and we do think -- and obviously, if you think about Mexico, Mexico is probably a lot more gas-based because their whole business model is around buying gas from the southern shale. So there just happens to be more activity down there. But across the board, it's a mix, and I can't give you a clear indication as to what our build will look like in '15.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay, but currently?
Jose Ramon Mas: Currently, I'd say that our mix is probably a little bit more liquids-based, just based on where the prices have been over the last year, 2 years.
Operator: We have come to the top of the hour. And the last question comes from Noelle Dilts from Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Company, Incorporated, Research Division: So I'm just trying to do some math on your guidance. Pulling out some estimates around Pacer revenues and WesTower, it looks like your organic growth guidance is maybe flat to up 4%. So Jose, I know in the past, you've been helpful in kind of walking us through a bridge on kind of how to get to that revenue. Maybe you could talk a little about where maybe you're -- you kind of referenced this throughout the call, but maybe more specifically about where you're expecting growth and maybe where you have some operations forecast down in '15?
Jose Ramon Mas: So again, to reiterate, it's an early estimate. And obviously, we think we're doing this -- we're obviously doing it earlier than we've ever done before, but it's a best guess of what we have today. On the high end, we think our Communications business is going to be roughly 2.6. From an Oil & Gas perspective, probably just shy of $2 billion. Our transmission area...
George L. Pita: We're going to show next year, in terms of organic growth, we certainly expect organic growth to come on the wireline side, right? We're seeing that with the awards on the 1 gigabit fiber. So we would expect to see some nice growth, Noelle. We've talked about our wireless growth as well, and we expect to see some organic growth on that front. I wouldn't say we're planning much in the way on the install-to-home side. We see a little of bit of growth on the home security front. So on the Communications front, we would expect some good overall organic growth.
Noelle C. Dilts - Stifel, Nicolaus & Company, Incorporated, Research Division: And then a quick modeling question. Of the $191 billion -- $191 million of G&A that you're forecasting for 2015, I was curious, how much of that is tied to WesTower, and if any of that is -- if there's any kind of purchase-related -- purchase accounting-related intangibles amortization that might be rolling off [indiscernible] past that.
George L. Pita: Yes, well we've got, obviously, in the guidance we've given for next year, WesTower is included in there, as well as an annualization of Pacer. And both of those combined give you a pretty good increase year-over-year in terms of raw dollars on the D&A side. Both the -- and the WesTower number just points to our best estimate. Obviously, we'll refine it as we get further along and actually go through the actual purchase price allocations, but they're both included in that guidance.
Jose Ramon Mas: All right. Appreciate everybody joining us today and look forward to updating you on our next call.
Operator: This concludes today's conference. Thank you for your participation.